Operator: Welcome and thank you for standing by. I’d like to inform all participants that your lines have been placed on a listen-only mode until the question-and-answer session of today’s call. Today’s call is being recorded. If anyone has any objections, you may disconnect at this time. I would now like to turn the call over to Mark Oswald. Thank you. You may begin.
Mark Oswald: Thank you, Amanda. Good morning and thank you for joining us as we review Adient’s results for the fourth quarter of fiscal year 2019. The press release and presentation slides for our call today have been posted to the Investor section of our website at adient.com. This morning, I am joined by Doug DelGrosso, Adient’s President and Chief Executive Officer; and Jeff Stafeil, our Executive Vice President and Chief Financial Officer. On today’s call, Doug will provide an update on the business, followed by Jeff, who will review our Q4 results and expectations for fiscal year 2020. After our prepared remarks, we will open the call to your questions. Before I turn the call over to Doug and Jeff, there are few items I’d like to cover. First, today’s conference call will include forward-looking statements. These statements are based on the environment as we see it today and therefore involve risks and uncertainties. I would caution you that our actual results could differ materially from these forward-looking statements. Please refer to Slide 2 of the presentation for our complete Safe Harbor statement. In addition to the financial results presented on a GAAP basis, we will be discussing non-GAAP information that we believe is useful in evaluating the company’s operating performance. Reconciliations to these non-GAAP measures to the closest GAAP equivalent can be found in the Appendix of our full earnings release. This concludes my comments. I will now turn the call over to Doug. Doug?
Doug DelGrosso: Great. Thanks Mark. Thanks to our investors, prospective investors and analysts for joining the call this morning, spending time with us, as we review our fourth quarter results. Turning to Slide 4. First a few comments on recent developments, including certain of our financial metrics, which are called out at the top of the slide. Although, our fourth quarter results are down year-over-year, Adient’s financial results improved sequentially for the third consecutive quarter as benefits related to turnaround actions implemented earlier this year more than offset industry weakness in China and the impact of the labor strike at GM, a good outcome and further evidence that the turnaround continues to track in the right direction. Sales and adjusted EBITDA for the quarter totaled $3.9 billion, $215 million respectively; sales were generally in line with our internal expectations adjusting for the GM strike, lower production in China, combined with the impact of the labor strike in GM more than explained the $35 million year-over-year decline into EBITDA. Adjusted earnings per share fell to $0.63 in the most recent quarter as the lower level of operating profit dropped right to the bottom-line. With regard to our balance sheet, we ended the quarter with $924 million of cash on hand. Our fourth quarter financial results recorded today enabled the company to deliver on our full-year 2019 commitments which were to stabilize the business and improve the company's financial performance in the second half of the year compared to first half results. This was a significant first step for the team as we set out to re-establish our credibility with you and other key stakeholders. Outside of the financial results, other recent developments include the reduction of the company's ownership stake in Adient Aerospace to 19.99% from 50.01% in mid-October. As you know, Adient Aerospace is joint venture between Adient and Boeing established to develop and manufacture seats for the airline industry. Although we continue to see future benefits associated with airline seating business reducing our stake at this time further enables the company focus on our core business. Speaking of our core business, Adient was pleased to be recognized by J.D. Power in North America with three awards for seat quality and customer satisfaction. Although, we’ve talked in depth about the challenges that impacted fiscal 2019, the J.D. Power awards are a good reminder that a large percentage of Adient’s operations and programs continue to be executed in award winning levels and the challenges company faced are contained to eliminate number of plans and programs. Another significant sign that the company is laser-focused on customer launches. And it was recognized by General Motors for the successful launch of the Chevrolet Onyx GM's Global Emerging Market vehicle initially launched in South America. Turning to Slide 5, just a few additional comments on our launches and new business wins. As you can see from the examples highlighted on the left, Adient continues to win new and replacement business. The selected wins shown on the slide include a great mix of truck, SUV, and luxury platforms such as BMW X5, Ford Transit, Mitsubishi Triton, very important platform for Adient in Asia, and the Tesla Model 3 in China. Tesla’s Model 3 which launches in early 2020 is a very good win for total Adient. The business win further strengthens our leading position in China and helps offset largest volume in North America as Tesla recently decided to in-source the front row seats of their model X and S. Jeff will provide additional color on how Tesla's decision will impact Adient’s fiscal year 2020 financials in just a few minutes. Given the customer mix, geographic mix, and platform mix of these and other recent Business Awards, we expect Adient’s leading market position will continue to strengthen in the coming years. Win rates for both replacement and new business tracked extremely well in 2019, in line with expectation and historical performance. For example, on the seating side replacement business in 2019 was won at a rate of 100% in China, 96% in the Americas, and 90% in Europe. More important than the rate itself, is business case for the program, business case doesn't make financial sense, we're not afraid to walk away from various programs or customers. I also mentioned that the rates historically and often quoted referred to the JIT portion of the business. The team has done a great job managing the business down to the component level. Turning to the right hand side of the slide, we've illustrated a variety of programs that recently launched or scheduled to launch in the coming months, including Mercedes GoP, Chevrolet Onyx which I mentioned, Toyota Corolla, and Skoda Octavia. In summary, launches are going well. The team is focused around change management, enhanced readiness, program reviews, and early escalation of potential issues, have significantly improved Adient’s launch performance, as 2019 progressed, was a key component of our improved financial results in the second half of 2019 compared to the first half performance. Heading into fiscal year 2020, we would expect the trend to continue to be aided by a reduction of overall launches and complexity of those launches. For example, in the Americas region executed roughly 72 product launches in fiscal year 2019 including 11 platinum and gold launches. In fiscal year 2020, the expected number of launches dropped to 67. But more importantly the number of platinum and gold launches dropped to six. Similarly Europe is expecting a lower volume of launches and complexity for both complete seats and the SS&M business. Asia expect to see a slight uptick in the volume of launches however, the complexity of those launches remain relatively flat. China's discipline process around change management and launch readiness gives us confidence in their ability to execute against the plan. Turning to Slide 6, let me reflect for a moment on fiscal year 2019 and the progress made with our turnaround plan, which is solidly on track since where we begin the year with some very challenging issues facing the company. Those issues have been well documented. So I won't repeat the narrative here. We set the priorities around a back to basics mindset, which was very inwardly focused and intended to stabilize the business. Key tenants included improving our operations, specifically our underperforming plans, improving launch management, driving out launch costs, and premium freight, getting cost reductions implemented at our plants for establishing VAVE initiatives and building better relationships with our customers. To accelerate the pace of change, we reorganized our management structure and made several personnel changes, particularly in North America and Europe. I'm pleased to report as evidenced by our financial performance in Q4 and the second half of the year we did what we said we do. The business was stabilized and importantly, well-positioned to enter the improvement phase of our turnaround. Before I move to the improvement phase, what's expected in fiscal year 2020, let me provide a few specifics around our stabilization success. First, the team made solid progress improving operating performance on our underperforming plans as they continue to execute detailed work plans designed to eliminate operational ways to improve underutilization rates. We provided an example of the improvement achieved at our Bridgewater Plant in Warren, Michigan, and as you can see significant progress was made as we progress through the year with respect to customer disruptions, required production labor, containment, headcount, and operational waste. Similar results were achieved at a variety of locations across our network plants. Cost performance, as mentioned earlier, continue to improve as the year progress, tangible metrics include 40% reduction in launch costs in fiscal year 2019 versus 2018 and the Americas fiscal year 2019, second half launch costs decreased approximately 30% versus first half 2019. In Europe, we experienced a similar trend with year-over-year launch costs down 20% in first year of 2019 second half 2019 improved 15% to 20% compared to the run rate in the first half of 2019. The stabilization of our plants and launches also drove reductions in premium freight and containment cost. For example, in the Americas premium freight declined over 70% in 2019 compared to full-year 2018, a significant production was also recognized in the second half of 2019 versus our first half performance. Within the SS&M business in Europe, the team did an excellent job reducing premium freight costs by just under 70% year-on-year. Outside of the benefits achieved through operational improvements, we've made strides to improving program profitability by stabilizing our customer relations and ratcheting up our VAVE initiatives across the globe, being focused on returns throughout the product lifecycle will be a key component and improvement to Adient’s program profitability. Although we're pleased with our progress, we're also aware our results in fiscal year 2019 were far below past levels of performance. But our hard work lies ahead to achieve best-in-class operations and profitability. Moving to Slide 7 having stabilized the business, the company has began to transition to the improvement phase of the turnaround. During this phase of the turnaround, which covers next three years plus, we expect continued improvement in specific focus areas will result in significant earnings and cash flow growth. For fiscal year 2020, specific focus areas that underpin our expected improvements in earnings and cash flow for fiscal year 2019 include launch management, including better launch execution, as mentioned earlier, a reduction in the number of launches, and the complexity of those launches. Continued improvement within operation is expected to drive significant benefits. As the team focuses on lean activities manages and better utilizes Adient’s existing asset base to ensure our footprint is aligned with where the business is today, and where we expect it to be, especially as we execute the right-sizing of our SS&M business. Cost reduction is the third pillar of the improvement plan. This includes continued focus on SG&A costs which changes a good job controlling in fiscal year 2019 as well as building out significant opportunities and material value chain. Expanding efforts within the VAVE area will be a key enabler to drive down material costs. Took us off to a solid start, in fact, based on idea generation, executed benchmarking, and customer roadshows today, we expect to see approximately $10 million to $15 million in VAVE benefits recognized in both Americas and Europe region in fiscal year 2020. Again, a solid start, with more opportunities building in the pipeline. Finally, commercial discipline, said another way focusing on returns throughout the product lifecycle rounds off the specific areas of focus in fiscal year 2020. Jeff will provide further details on these efforts and how they translate into improved EBITDA and cash flow in 2020. Just a minute, but first, let me conclude my remarks with few comments related to China and the overall macro environment. Starting with China, the latest economic data suggests the economy is beginning to stabilize essentially no signs of worsening or improving. Recent headlines such as the potential for partial trade deal between China and U.S. are being viewed as positive and should help improve overall consumer sentiment. We expect the China auto industry to mirror the overall macro environment initially stabilizing followed by modest growth in later part of the fiscal year. Normal seasonality is also factored in to our China assumptions. Specifically, we expect build close sales and production to increase in the first quarter of our fiscal year as manufacturers look to finish the year strong heading into our fiscal second quarter or the first quarter of calendar year 2020 sales and production will likely decline versus first quarter levels due to the Chinese New Year holiday. Thereafter, we would expect a modest level of improvement as the year progresses. Outside of China, consumers remain cautious this year's global economic slowdown and geopolitical concerns. These macro concerns are expected to place downward pressure on industry sales and the production in North America and Europe. Our current outlook is based on a more conservative view of vehicle production in both North America and Europe compared to leading third-party forecasts and services. Our view is primarily based on customer release schedules that have not been fully incorporated into third-party estimates. In Asia, specifically outside China, we're also expecting certain of our major markets such as Thailand and Korea be down versus last year. In addition to lower production assumptions, the strengthening dollar is an additional headwind and must be overcoming fiscal 2020. Despite this challenging macro environment, we expect the self-health initiatives discussed moments ago will more than offset these headwinds resulting in earnings and cash flow growth in 2020. With that, I'll turn it over to Jeff, so he can take us through Adient’s financial performance for the quarter and what’s expected for fiscal year 2020.
Jeff Stafeil: Good morning. Thanks, Doug. Turning to Slide 10. Adhering to our typical format, the page is formatted with the reported results on the left and our adjusted results on the right hand side of the page. We will focus our commentary on the adjusted results which excludes special items that we view as either one-time in nature or otherwise few important trends and underlying performance. For the quarter, the biggest drivers of the difference between our reported and adjusted results relate to our pension mark-to-market and purchase accounting amortization, restructuring, and an asset impairment associated with an engineering center in India being held-for-sale. The details of these adjustments are in the Appendix of the presentation. Sales of $3.9 billion, down 4% year-over-year excluding the impact of FX. Adjusted EBITDA for the quarter was $215 million, down $35 million or 14% year-on-year more than explained by the impacts of lower volumes in the mix within the Americas and Asia. Included in the Americas region was between $7 million and $10 million of headwind related to the labor strike at General Motors. I'll also note that last year's results included about $20 million of temporary SG&A benefit each quarter that did not repeat this year. Finally, adjusted net income and EPS were down approximately 52% year-over-year at $59 million and $0.63 respectively. As you can see, most of this difference relates to tax expense. As we've discussed, our tax expense is highly volatile due to bookings valuation allowances in several geographies. Full-year results are shown in Slide 11. Sales of $16.5 billion finished the year in line with our expectations. FX accounted for over half of the $900 million year-over-year decline in 2018. In addition, significant weakness in the China market and lower sales in our European complete seat business also impacted 2019 results. Business performance issues discussed at length throughout the year combined with lower sales more than explain the approximate $400 million decline in EBITDA. Although down year-over-year, earnings improved sequentially as the year progressed, more on our second half versus first half performance in just a minute. And finally, as we've seen throughout the year, the operational challenges, lower volume and changes in the tax rate had a significant impact in the bottom-line as adjusted net income and EPS were down approximately 71% year-over-year at $153 million and $1.63 respectively. Now, let's break down our fourth quarter results in more detail. Starting with revenue on Slide 12. We reported consolidated sales of $3.9 billion, a decrease of $224 million compared to the same period a year-ago. Lower volume mix primarily in North America and Asia, impacted the year-over-year results by approximately $160 million. In addition, the negative impact of currency movements between the two periods, primarily in Europe impacted the quarter by $64 million. Moving on with regard to Adient’s unconsolidated revenue, our Q4 results were significantly impacted by much lower vehicle production in China. Unconsolidated seating and SS&M revenue, driven primarily through our strategic JV network in China was down about 11% when adjusting for FX. Sales for unconsolidated interiors recognized through a 30% ownership stake in Yanfeng Automotive Interiors are relatively flat year-on-year when adjusting for FX. Moving to Slide 13, we provided a look at Adient’s second half 2019 adjusted EBITDA performance compared to our first half results. As you can see driven by turnaround actions implemented throughout the year, the combined Americas and EMEA operating performance improved by just under $100 million. Total Adient improved by over $50 million or 78 basis points as the improved results in the Americas and EMEA were partially offset by significant volume headwinds from China. Speaking of China, the team did a good job of flexing headcount and cost in our consolidated entities to mitigate the weaker than expected industry headwinds. This can be seen in the margin performance, which was held close to 11% in the first half and just under 10% in the second half, despite the steep drop in volumes that impacted both the first and second halves. Achieving our commitment to deliver an improved performance in the second half versus the first half provides a couple of important takeaways. First, the turnaround plan is on track and continues to gain traction. Second, and probably more important when looking to the future, it signals that Adient’s numerous self-help initiatives can offset significant macro headwinds, which we expect to enable continued earnings and cash flow growth going forward. More in our outlook in a few minutes. Pushing back to the quarter, we provided a bridge of adjusted EBITDA on Slide 14 to show the performance of our segments between periods. The bucket labeled corporate represents central costs that are not allocated back to the operation, such as executive office, communications, corporate finance, legal and marketing. Big picture adjusted EBITDA was $215 million in the current quarter versus $250 million last year. The corresponding margin related to the $215 million of adjusted EBITDA was 5.5%, down approximately 50 basis points versus the fourth quarter of last year. The year-over-year decline is more than explained by the impact of lower volumes in Asia and the $20 million of temporary SG&A benefits in 2018. In addition, the Americas decline includes the impact of the labor strike at GM. Important to point out our positive business performance largely driven by our lower launch costs, reduced freight and ops waste had a positive impact on the quarter and partially offset the headwinds, I described earlier. On a side note, the month of September was the first month in fiscal 2019, where we exceeded the prior year EBITDA performance. In addition, despite being down year-over-year, our Q4 performance exceeded Q3 results by $10 million. This is the third consecutive quarter of improvement and demonstrates the operating environment in Americas and EMEA have stabilized and begun to improve, albeit still at a unacceptable levels. Finally, SS&M progressed positively versus Q3 2019 as global results improved by about $17 million sequentially. Similar to past quarters, we've included detailed bridges for our reportable segments, which consists of Americas, EMEA and Asia on Slides 15, 16 and 17. To ensure adequate time is allocated to our 2020 outlook and the Q&A portion of the call, I do not plan to review these slides in depth. The bridges illustrate the key drivers of the year-over-year variance. I would summarize by saying the following. The Americas continues to progress in a positive direction as our turnaround actions continue to gain traction. The quarter benefited from positive business performance, consisting of lower ops waste, launch costs, and premium freight. Unfortunately lower volumes and increased SG&A costs driven primarily by the temporary benefits recognized last year did not repeat offset the benefits. In EMEA, similar to Americas the region's benefiting from turnaround actions implemented, as demonstrated by a second half versus first half performance. Year-over-year, the region continues to be impacted by containment costs associated with certain of our SS&M plans, call it $3 million out of $10 million negative business performance as shown. In addition, there were approximately $5 million plus of customer tooling recoveries that benefited last year's fourth quarter that did not repeat in the most recent quarter. Worth pointing out, SS&M as noticed the bottom of the slide improved $12 million year-over-year and $5 million versus the third quarter. In Asia, volume continues to be the primary driver of the lower year-over-year performance. Let me now shift to our cash and capital structure on Slide 18. On the left hand side of the page, we break down our cash flow. Adjusted free cash flow defined as operating cash flow less CapEx was a negative $116 million for the quarter. Timing differences and trade working capital explain the vast majority of the decline in free cash flow versus last year. Capital expenditures for the quarter were $118 million compared to $132 million last year. As you can see in the footnote, we continue to break out CapEx by segments. For the full-year, capital expenditures totaled $468 million, approximately $30 million below the expectations provided to you on our Q3 earnings call and $68 million below last year spend. Free cash flow was negative $160 million better versus the guidance provided on our last earnings call. On the right hand side, we detailed our cash and debt position. At September 30, 2019, we ended the quarter with $924 million in cash and cash equivalents. Gross debt and net debt totaled $3.738 billion and $2.814 billion respectively on September 30. It's worth mentioning there are no new excuse me there are no near-term maturities, thanks to the refinancing completed in May. Moving onto Slide 20 to 23, let me conclude with a few thoughts on what to expect for fiscal 2020. On the right hand side of Slide 20, we have laid out our initial planning assumptions for production and FX compared to fiscal 2019. As Doug mentioned earlier, we made an overlay to the IHS production assumptions for known and customer release schedules that have not been fully reflected in the third-party estimates. This has resulted in our industry volume assumptions being more conservative versus IHS’s forecast. FX namely movements in Euro and Chinese RMB is an additional macro headwind included in our assumptions. Although overcoming these headwinds will be challenging, we expect that the benefits of our self-help initiatives, focused on operational improvements, launch management, cost containment, and commercial discipline will more than offset these macro pressures, resulting in earnings and cash flow growth in 2020. Now I will review how these assumptions impact our 2020 outlook, beginning with sales on Slide 21. We've included a bridge that walks our fiscal 2019 sales of $16.5 billion to our expected 2020 sales range of between $15.6 billion and $15.8 billion. Volume and mix are expected to have the greatest impact on our 2020 performance. And it’s important to understand the drivers within this bucket. First, as mentioned in the previous slide, overall industry volumes will drive a large portion of this year-over-year decrease as we expect actual production to be worse than current IHS outlook. In addition to specific customer release schedules tracking below industry estimates, we've also adjusted for end markets negatively impacting our sales mix. Thailand is a good example where Adient enjoys a leading market position. Unfortunately, we expect volume in Thailand to be down more than the global average. In addition to these volume headwinds, Adient is also facing pressures unique to fiscal 2020 that are expected to reverse in fiscal 2021. For example, extended downtime for some of our top platforms such as the Ford F-150, driven by a new model changeover and the RAM which is scheduled to have significant downtime in fiscal 2020. And as you know, lost volume related to the GM labor strike, we will continue to monitor and assess potential upside as GM attempts to make-up lost production. We expect the volume decline will have a more significant impact in the second half of fiscal 2020 than the first half. Outside of volume and to a much lesser extent, customer pricing and FX are expected to have a negative impact in the year. Partially offsetting the volume headwinds are positive contributions expected from Adient’s backlog. You'll see we called out Tesla's decision to insource Model S and X is negatively impacting our backlog for the year. Turning to Slide 22, excuse me, we've also included a high-level bridge illustrating our expectations for adjusted EBITDA. Walking from fiscal 2019 results of $787 million, we expect several factors will influence Adient’s performance in 2020. Many on the positive side, including benefits driven by the continued execution of the company's turnaround plan, specifically focused on operational improvements, launch management, cost containment, and commercial discipline. As mentioned on previous calls, and as evidenced by Adient’s second half 2019 results, these self-help initiatives are not dependent on improving macro conditions. Beyond benefits driven by our turnaround plan, Adient’s reduced ownership stake in Adient Aerospace will also contribute to earnings growth in 2020, as the joint venture will no longer be consolidated in Adient’s financial results. The investment is shifted to a cost method, meaning Adient’s financials going forward will be impacted with dividends are paid or if the investment is impaired. For fiscal 2019, Adient’s adjusted EBITDA absorbed just under $30 million of investment in this business. Future Adient funding is not expected. Moving on, these positive influences are expected to be partially offset by just under $200 million of headwinds. Most significant being lower volume and FX, which I discussed on slide 20 and 21. Bottom-line when sifting through the puts and takes we expect adjusted EBITDA to increase to between $820 million and $860 million in fiscal 2020. Now we covered our fiscal 2020 expectations for sales and adjusted EBITDA, let me quickly comment on our expectations for few other key financial metrics on Slide 23. Starting with equity income, based on our assumption of stabilizing production in China, and current FX rates, we would expect equity income to range between $265 million and $275 million, including Wi-Fi of approximately $45 million. Important to note, we're expecting equity income to mirror China's overall seasonality production pattern increasing in quarter one fiscal 2020 versus quarter four fiscal 2019 as vehicle production improves, followed by a decline in our fiscal second quarter impacted by the lower production surrounding the Chinese New Year holiday. Interest expense based on our expected cash balance and debt should be approximately $200 million. Cash taxes in fiscal 2020 are expected to range between $100 million to $110 million similar to last year's levels. Important to remember net operating loss carry-forward can offset income as profits increase. So cash taxes on Adient’s operations should remain low even as profits are increasing. With regard to Adient’s effective tax rate and for modeling purposes, we're expecting of a rate in high 30% range. We would expect that rate to fluctuate on a quarterly basis due to valuation allowances and our geographic mix of income. Capital expenditures are forecasted to range between $465 million and $485 million, essentially in line with fiscal 2019 results. Although we see opportunity to reduce capital expenditures further in the out years, driven in part by a smaller SS&M business, the current year expenditures are supporting the current launch plans. And finally, one last item for your modeling, we expect our improved operating performance, operating profit, and reduce level of cash restructuring will result in break-even free cash flow for the year. With that, I'll have the operator turn it over to the Q&A portion of the call.
Operator: Thank you. [Operator Instructions]. Our first question comes from Armintas Sinkevicius with Morgan Stanley. Your line is open.
Armintas Sinkevicius: Great, good morning. Thank you for taking the question. As we think about the operational improvements and I think you did a nice job highlighting them, what do we have to think of going forward? I know common front seat architecture was a concern last year previous to that it was the SS&M transition to next-generation mechanisms that that seems to be behind us. But maybe you could talk through some of the puts and takes into fiscal 2020 and where you see operational improvement and maybe areas of where you still have to improve operationally?
Doug DelGrosso: I appreciate the question. I guess I look at it this way. I think when we walked through we're overcoming $200 million negative EBITDA headwinds with to get the projected guidance earnings growth on a year-over-year basis. That really is made up of approved launch performance, operational improvements, commercial activity, reduction of activity in SS&M. So I guess, at a macro level, that's how you should think of -- that really is the pillars of the improvement on a year-over-year basis.
Armintas Sinkevicius: Okay. And then in common front seat architecture how is that trending? Just trying to get a sense of the operational stamp that that you've been able to put on the business in the last year?
Doug DelGrosso: Yes. In our formal comments, I think Jeff has reflected on the year-over-year improvement as well as I did particularly in Europe, which that common hardware was pretty significant burden to us in 2019 particularly in the first half of 2019. And then if you walk into 2020, that comes down significantly when we look at launch expense. And what we call operational standard cost, cost of poor quality.
Jeff Stafeil: Maybe Armintas just to give you some numbers perhaps that might -- on some of that. Slide 31, I believe of the last page of the Appendix section, we have a supplementary section on the old SS&M business. So we don't report it as a segment but we continue to give you some of that detail. And as you know, as we started fiscal 2019, we were kicking off that front seat architecture at Europe and while we had some improvements in fiscal 2018, when we ran into the second launch and really a more challenging and bigger launch in Europe, you can see our numbers kind of progressed at the beginning of fiscal 2019. But if you look through the year, we went from -- and I just -- the numbers went from minus 72 in first quarter to minus 51 to minus 38 to minus 21, starting to see a bigger improvement. The fourth quarter really represents the first quarter where we beat the prior-year. And I think as we go-forward, we have seen stabilization in that, we’re still working a number of fronts, I would say, we're nowhere near done. And as you look, one of the big opportunities for us that we're laser-focused on, just going to take some time to improve is that simplified free cash flow you see on the page where last year we were at minus $168 million of EBITDA with $255 million of CapEx. This year $182 million of EBITDA, so a little worse in total but trending much better as the year progressed with $222 million of CapEx, we’re seeing big improvements on the EBITDA line and opportunities to take more CapEx as we move out into future period. And that's we will continue to show you the scorecard at least for a while as we stabilize this business but this is really one of the fundamental areas that there's no real fire burning, we have customers are taken care of here. But from an overall P&L impact at Adient we expect to have continued improvement in this area.
Armintas Sinkevicius: And just one more here, adjusted EBITDA is better, but cash interest taxes and CapEx is a bit lower. How are we getting the break-even free cash flow? Is it just working capital or are there other some puts and takes to think about?
Jeff Stafeil: Yes, I mean, I think if you look at working capital for the year, back to that slide, if you look at essentially to that -- I always say that the working capital pieces is pretty heavily driven by timing. In 2018, we had a benefit of $174 million for the year. If you look 2019, we effectively gave it back, right. So the combination of those two years is pretty stable. So we assume and we're planning for a more stable working capital swing for the year as one component to get ourselves to break-even.
Armintas Sinkevicius: Thank you.
Doug DelGrosso: This probably is a big one in addition to just earnings improvement.
Operator: Thank you. Our next question comes from Rod Lache with Wolfe Research. Your line is open.
Rod Lache: Good morning, everybody. Just wanted to ask first of all on the EBITDA bridge to 2020. Looks like you're assuming consolidated EBITDA goes from $501 million to somewhere between $555 million and $585 million. And you talked about the $200 million roughly impact from volume mix in FX. So you presumably are assuming business performance improves by $250 million to $280 million, which is quite a bit better than the run rate we're seeing in Q4. So I was hoping you can give us a little bit more color on how that's coming through. What’s -- the launch comments that you made Doug in your prepared remarks? What does that actually mean in terms of dollars? And what are you expecting in terms of restructuring savings and will we presumably see this in SS&M mostly in the near-term?
Jeff Stafeil: Yes. There's a few components to unpack, I will maybe start a little bit, Ron. The SS&M businesses is one that I think from a continuing improvement, I just read through the chart, and I have you focused on that, we continue to see improvements but it’s the business that did $20 million negative in the fourth quarter but had $182 million negative for the year, continuing to stabilize, that is going to be probably the biggest component of those improvements. But we're seeing and we showed the second half versus first half. And you start to think of some of those improvements, especially on our consolidated business. We had over 100 basis points of improvement in the operations in the second half in Europe and the Americas. And we are continuing to see improvement as we go-forward, better commercial discipline. As we have resurrected and improved a bunch of the commercial issues we had with our customers, and I'd say we have a much more stable relationship, the VAVE opportunities, Doug has mentioned the collaboration between ourselves and our customers has increased greatly, and we're seeing more of those type of opportunities come to us and collaboration between ourselves and the customer, which gives us both opportunities to have win-win and improve operating performance. So it's a lot of little things. There's nothing by itself here, but we're starting to see a lot of this momentum build and the improvements are coming through really in all areas.
Doug DelGrosso: Yes. So maybe the way I would look at it is you chunk it into two pieces you have what I would call off-place and launch-related activities. Going back to the number that’s offsetting the $200 million headwinds. And then you have commercial activity. And it's roughly it's always about equally split and there's a lot of grail, what you want and how you bucket between ops waste and launch in commercial activities. But if you think about that improvement to the offset is roughly equally split. The biggest piece on the upside is just driving productivity in our plants and that is definitely a big component of that is the mechanisms business. The commercial side, I think there's a lot of typical activity that you would have this commercial discipline, the big piece that we're expecting to significantly help us on a year-over-year basis is VAVE activity and how we bring that activity forward. And how we can utilize that vehicle if you will to reduce customers’ expectations on LTAs and how we blend those two activities together. But that's really how I think about piecing that overcoming the headwinds, and if you want to box it that way.
Rod Lache: Okay, thanks that's helpful. And just two housekeeping things. At one point you had talked about, I think it was $100 million decline in CapEx mostly from SS&M, is that still the case? Should we expect CapEx to kind of return to a downward trajectory as we go beyond 2020? And can you quantify how big these the RAM and F series temporary disruptions are that you cited in your prepared remarks?
Doug DelGrosso: Sure. Let me just a point to make on SS&M to that. It should have been addressed, should address in a couple other questions. If we project SS&M sales for the next three years is coming down approximately $400-ish million. Obviously there's a huge component of capital that comes down that's aligned with that volume drop and a better asset utilization of our existing asset base today. So, yes, capital will be coming down in that segment. It's been a big part of the dropping capital on a year-over-year basis from 2018 to 2019 and we expect to see that continue. The only really significant capital investments that we have coming into this year, the SS&M business is the last phase of our recliner capacity in Europe. And we're not particularly concerned about that because that’s just incremental volume, that product has been in production now well over a year from a manufacturing standpoint, it’s been thoroughly debugs this incremental spend won’t come with some of the same burdens that the initial investment had associated with it and then relative to F series.
Jeff Stafeil: Yes, call it $125 million, give or take, maybe $125 million to $150 million in that range.
Operator: Thank you. Our next question comes from Dan with Credit Suisse. Your line is open.
Dan Levy: Hi, good morning. Thanks for taking the questions. First, I wanted to just talk to your long-term targets. Just want to get a mark-to-market for what you're ultimately paying for earlier this year. I think you highlighted the opportunity to close the gap in margins versus your peers, I think was like a 400 basis point gap using the fiscal year 2018 margin and since then obviously margin compressed in 2019. But could we just get an update on that target that 400 basis point improvement versus 2018. Is that still in play and I think you would talk to pass something like 200 to 250 bps from core jet and 100 to 250 from SS&M, just trying to get a sense, if that's still ultimately what you're aiming for down the road?
Jeff Stafeil: Yes that has not changed. I would say we are when we spoke, we were pretty open that that was something that was going to take multiple years to achieve and we were looking out into 2022, 2023 timeframe to get there. I think we're on pace to achieve that. I think our quarter-on-quarter improvement reflects that. So our expectation is not changed at all in that being our target in that timeframe being the timeframe, we plan to achieve it.
Doug DelGrosso: Yes. And I think the target is probably loosely defined is just making sure we're at least at our competitor level of profitability and that you're right, that that spread is probably increased, but the goal here of closing the gap between ourselves and our peers is certainly still the goal on the expectation over the next few years.
Dan Levy: Great, thank you. And then just second, I know we spend a lot of time on SS&M for obvious reasons. It sort of along the way, sometimes it feels like on our end, the core jet seating business, which is really your much larger business gets reflected and I know over the past couple of years, we've seen a wide variety of launch headwinds dragging down. I mean, you can do some math and back it out, you are sort of that in EBITDA margin of call it in the 7% range there. That's down a few points versus what you've been posting a few years ago a few hundred million dollars of sort of business performance headwinds along the way. Could we just talk about specific to the core jet seating business, how we should think about the reversal of those business performance headwinds? And we see a lot of your initiatives here for operational improvements and launch headwinds. Can those be applied similarly to SS&M and jet seating? Or is there a different approach that you're applying to jet seating along the way, something that's a bit more nuanced to that particular business?
Doug DelGrosso: I would say the -- from a launch operation, we're applying the same discipline. And in fact, we've consolidated those groups because in many cases, we've got both jet and hardware on the program and we talked about that in unison and not separate when we had it as a separate business unit. That certainly the business -- the fundamentals from an operation standpoint is slightly different. Jet is labor intense flight assembly for the most part and the metals business is kind of the opposite. It's more automated, capital intense with a lighter portion of labor. So we're applying the different level of operation discipline in the way we operate that business. We've done a lot of work to look at our manufacturing footprint and combine both plants instead of separating them, so we can utilize logistics locations better and historically we've done. I would say what's significantly different on the jet side compared to the metal side is the value chain from a material standpoint. And that's where we're spending much more activity on the jet business finding ways to drive down material as a percent of sales. And I think that really underpins our improvement on the jet side. So when we talk about VAVE activity, when we talk about heightening our activity in our purchasing environment to drive down material costs, I think that's where it's more difficult to do in the metals business because you just don't have the same number of components. It's very much material economic base on metals, where the jet you can look for opportunities in the trim covers and phone in metals included in that in option content within a complete seat to drive cost reduction or offset customer productivity. So it's just a more total products segment for us to drive what I've been look at is material to sales ratios.
Dan Levy: So the -- is the reduction of sort of launch complexity that it seems like that that's almost a little easier on the jet side than it is in metals, am I interpreting that correctly?
Doug DelGrosso: Yes, to a certain degree. I would look at it this way, a bad launch jet is easier to fix than a bad launch on metals. And that's why some of the problems we've had on metals has lingered because with metals, bad launch usually involves having to fix tools, having to fix automated lines where the jet business again flight assembly and driving engineering change and improving repeatability from a build standpoints just easier to get to. But they both can be very expensive if not properly executed. So the discipline from a launch management standpoint that we put in place is very much the same. And I think that discipline is really fundamentally changed launch costs particularly in the second half of this year and as we move into 2020, we have much better handle on our launches. We are much more proactive with our customers, driving resolution of issues well in advance of any kind of volume production. That's really where above products, our problems have to be solved if you wait till you are actually in production. It's not going to turn out very well.
Operator: Thank you. Our next question comes from Joseph Spak with RBC Capital Markets. Your line is open.
Joseph Spak: Thanks. Good morning, everyone. I just wanted to maybe talk about the EBITDA bridge one more time. I know as was pointed out earlier on a consolidated basis at the mid-point, it looks like you're guiding it, almost $70 million higher. I think just the unconsolidation of aerospace is $30 million. So you're talking about another 40 bps or $40 million or 25 bps of improvement? And I think aerospace was in Americas. So but maybe ex-that, can you just talk about how you expect some of the performance regionally because it sounds like you're talking about some poor mix in the Americas, we saw some improvement in the Asia consolidated margin. And then Europe still seems challenging. So any color there regionally would be helpful.
Jeff Stafeil: Yes. I guess, first of all, on as it relates to aerospace that will be effectively call it $30 million of tailwind for the Americas. You're right. It was in the Americas numbers and effectively, it won't be there next year. And obviously a big piece of the improvement. Sales are the biggest driver. Joe, as you look through the whole numbers, I think based on where we're kind of pulling through from where the SS&M business is improving underlying these numbers, fixing a lot of those operational things Doug talked about on a consistent sales base, we could do I think we’d certainly turn in higher results, I believe. But we have built in a number of macro pieces here. So I’d say in Asia, kind of thinking through that, I think we probably have a little bit more headwinds and tailwind as we look through some of the macro pieces. And some of the specific pieces we have. I mentioned Thailand, the Thai business is very important to us. We've seen a reduction in exports in Thailand; we've seen a tightening of credit in the market too which has brought down the market a bit. But overall, I just maybe see a little bit more headwind in the Asia region in general. I would say both in Europe and in the Americas, I think we have opportunity to outperform 2019 levels and it's going to as the whole results here will depend probably more on sales and the regional mix of those sales. But fundamentally operating wise from a cash flow and from just all the metrics, Doug talked about just the conversion ratios that significant performance, you saw in the second half of the year, we don't think we're done yet. We're still seeing improvements on a monthly basis. So we'd expect those things to aid and sort of offset a lot of that sales pipeline.
Joseph Spak: Okay, thanks. And then just back to the free cash flow walk, if we use sort of the helpful bridge you provide for 2019. But then think about your guidance for 2020 on that front, if we have EBITDA again, sort of at the mid-point of 840, the interest in cash taxes. And then if we make an assumption about you getting, I guess 70% of prior-year JV income back and but then netted against the what's on the -- what's in the EBITDA that seems like another $70 million which and then you add in the $475 million CapEx -- that I know that's a lot of numbers right here, but that seems to get you basically to the free cash flow break-even. And so I just want to get back to the working capital comment because it would seem like it would have to be positive to offset the cash restructuring that you're planning for. So I just wanted to understand your working capital comment from earlier?
Jeff Stafeil: Yes. I mean I think right now, we're seeing a bit of a reduction in global sales. We're seeing a reduction in the SS&M piece of those sales as we think there is some opportunity that that business will go down a little bit that is somewhat of a working capital user in our structure here. But net-net if you look over the course of the two years in total, our working capital was essentially zero. I would say we're probably assuming somewhere around zero number in our 2020 assumption.
Joseph Spak: Okay. And then did you actually state cash restructuring expectation for next year or just lower?
Jeff Stafeil: It's going to be a little bit lower. We didn't give you an exact number.
Mark Oswald: And Amanda it looks like we're at the bottom of the hour. So again, I think that concludes the earnings call this morning. If anybody has additional questions, please feel free to reach out to Doug and to myself throughout the day. Again, thank you for your time this morning.
Doug DelGrosso: Thanks, everyone.
Jeff Stafeil: Thank you.
Operator: That concludes today’s conference. Thank you for participating. You may disconnect at this time.